Operator: Good day and thank you for standing by. Welcome to the Opendoor Third Quarter 2024 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speaker's presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Kimberly Niehaus, Investor Relations. Please go ahead.
Kimberly Niehaus: Thank you and good afternoon. Details of our results and additional management commentary are available in our earnings release and shareholder letter, which can be found on the investor relations section of our website at investor.opendoor.com. Please note that this call will be simultaneously webcast on the investor relations section of the company's corporate website. Before we start, I would like to remind you that the following discussion contains forward-looking statements within the meaning of the federal securities laws. All statements other than statements of historical facts are statements that could be deemed forward-looking, including but not limited to, statements regarding Opendoor’s financial condition, anticipated financial performance, business strategy and plans, market opportunity and expansion, and management objectives for future operations. These statements are neither promises nor guarantees and undue reliance should not be placed on them. Such forward-looking statements involve risks and uncertainties that may cause actual results to differ materially from those discussed here. Additional information that could cause actual results to differ from forward-looking statements can be found in the Risk Factors section of Opendoor's most recent annual report on Form 10-K for the year ended December 31, 2023, as updated by our periodic reports filed after that 10K. Any forward-looking statements made on this conference call, including responses to your questions, are based on management's reasonable current expectations and assumptions as of today and Opendoor assumes no obligation to update or revise them, whether as a result of new information, future events, or otherwise, except as required by law. The following discussion contains references to certain non-GAAP financial measures. The company believes these non-GAAP financial measures are useful to investors as supplemental operational measurements to evaluate the company's financial performance. For a reconciliation of each of these non-GAAP financial measures to the most directly comparable GAAP metric, please see our website at investor.opendoor.com. I will now turn the call over to Carrie Wheeler, Chief Executive Officer of Opendoor.
Carrie Wheeler: Good afternoon. Also on the call with me today is Christy Schwartz. Before we get started, I'd like to take a moment to welcome two new leaders to our leadership team. Selim Freiha joined us earlier this week as our new Chief Financial Officer, and Shrisha Radhakrishna will be joining as our new Chief Technology & Product Officer this month. These leaders will bring fresh perspectives and deep expertise in a track record of disciplined growth and innovation will help shape our path ahead. I'd also like to thank Christy who has served as our Interim CFO since September of 2022. Christy joined Opendoor in 2016 and has helped guide the company these last eight years including leading our finance function for the past two. I'm deeply grateful for her partnership and her many lasting contributions to Opendoor. At Opendoor, we continue to see tremendous opportunity to redefine how consumers transact within the massive residential real estate market. Millions of transactions well over $1 trillion worth are done offline, moderated in a process that is complex, uncertain, stressful, and time consuming. We're focused on developing innovative products that leverage our purposeful platform to transform home selling, bringing simplicity, clarity, and ease to consumers. This is no small task, but we're making meaningful progress, having already helped hundreds of thousands of customers move with confidence. Despite a challenging housing market in the third quarter, we delivered acquisition volumes, revenue, contribution profit, and adjusted EBITDA ahead of our guidance, driven by strong execution across the business. We also continue to make progress in developing innovative seller-focused products. Opendoor is widely recognized for our all-cash offer, which provides sellers with simplicity and certainty. While many sellers come to us for our cash offer, there are others who want the opportunity to test the market for price discovery. We've developed our List with Opendoor and our Exclusive products so we can address these sellers. Our long-term vision is that every seller starts their journey with Opendoor. We believe these offerings extend our reach, enabling many more sellers to come to us first when selling their home. Both List with Opendoor and Exclusives are products of economics, both for sellers and for Opendoor, that are not sensitive to our spread levels and are thus less macro-dependent and are largely capital light. Additionally, we observe an increase in our net promoter score when these options are surface to seller, an additional proof point that we're addressing a previously unmet consumer need. While all this is early, we are optimistic about the long-term potential of List with Opendoor and Exclusives. Practice changes stemming from the recent National Association of Realtors settlement were implemented during the quarter, enhancing transparency and options for consumers when buying and selling their homes. In response to the ruling, Opendoor has begun transitioning from directly paying buyer broker commissions to a model that provides buyers with concessions, allowing them to choose how to use those funds, including the option to pay their buyer agent. We anticipate that the impact of this ruling on the broader market is going to evolve over time, and we will adapt our strategy accordingly to best meet the needs of our customers. We continue to contend with a challenged housing market and are making spread decisions with risk management top of mind. Although the Fed implemented a 50 basis point rate cut in September, mortgage rate relief has been short-lived. The combination of elevated rates and near record-high home prices is prolonging affordability concerns, keeping buyers and sellers on the sidelines. We saw further deterioration in key housing market indicators in the third quarter. The listing rates continued to decline and clearance rates declined more than seasonally typical. Overall, the housing market is on track to experience the lowest level of existing home sales since 1995 for a second consecutive year. In response to the step-down in the housing market, which we called out last quarter, we raised spreads back in May and we have continued to operate with elevated spread levels throughout Q3, prioritizing risk management. Higher spreads enable us to underwrite homes with healthy margins, but they do impact our overall acquisition volumes. One of our strengths is our ability to respond to market signals and balance growth versus risk by dynamically adjusting our spread levels. We remain intently focused on reducing net losses and ultimately achieving adjusted net income profitability. To this end, we are committed to taking steps to operate more efficiently. Over the course of this year, we've made significant improvements to our cost structure. In August, we announced the separation of Mainstay, which is expected to provide approximately $35 million in annual cost savings. And today, we announced a headcount reduction of about 300 people, or roughly 17% of our workforce. In addition to reducing our costs, we are flattening our org structure to allow us to move faster and more efficiently. This was a difficult decision and not taken lightly, but it is the right choice for our business. And I'd like to thank all of our departing team members for their hard work and dedication in building Opendoor into what it is today. While the housing environment remains challenging, we are proactively strengthening our business and our offering. We are undeterred by current market conditions and believe that as the market normalizes, we are well positioned to benefit and seize the opportunity to build a generational company. With that, Christy will now review our financial results and guidance.
Christy Schwartz: Thank you, Carrie. Our third quarter performance reflects strong execution and cost discipline while continuing to navigate a challenging housing environment. We delivered $1.4 billion of revenue in the third quarter, exceeding the high-end of our guidance range. On the acquisition side, we purchased 3,504 homes in the third quarter, ahead of our expectations and down 27% sequentially. This decline was a result of our elevated spread levels alongside a pullback in marketing spend beginning in late May as we observed signals that the macro environment was deteriorating, particularly clearance rates, delistings, and monthly home price appreciation. Contribution margin was 3.8% in the third quarter, ahead of the high-end of our guidance range. This performance was aided by slightly higher resale clearance than expected, coupled with a small impact from lower concessions and buyer broker commissions, which are reflected in revenue and direct selling costs, respectively. Adjusted operating expenses totaled $90 million for the quarter, lower than our guidance of $105 million, and down from $100 million in the second quarter of 2024. This outperformance was due to a pullback in advertising spend, which was $15 million in the quarter, coupled with lower than expected fixed and variable expenses as we continue to exercise cost discipline throughout the business. Finally, adjusted EBITDA loss was $38 million, significantly outperforming the high-end of our guidance range due to contribution margin outperformance and ongoing cost discipline. Turning to our balance sheet, we ended the quarter with $1.2 billion in total capital, which primarily includes $837 million in unrestricted cash and marketable securities, and $218 million of equity invested in homes and related assets. We also had $7 billion in non-recourse asset-backed borrowing capacity, composed of $3 billion of senior revolving credit facilities and $4 billion of senior and mezzanine term debt facilities, of which total committed borrowing capacity was $2.3 billion. As Carrie mentioned, while we started the year off expecting to be operating in a macro neutral environment, what we've witnessed is a housing market that remains under pressure. While mortgage rates fell to two-year lows during the quarter in response to anticipated rate cuts from the Fed, they have since rebounded to over 7%. Homeowners remain locked in to existing low-rate mortgages, and buyer affordability constraints are still prominent. This dynamic has translated into a seasonally adjusted annual sales pace of under 4 million homes. In response, our third quarter spreads were higher than those seen in the third quarter of last year. These actions put pressure on our fourth quarter acquisitions which we expect to be just north of 2,200. As we've previously discussed, during the fourth and first quarters, home price seasonality generally enables us to embed lower spreads into our offers, given these homes will be sold into the spring selling season. While spreads are higher than last year, they are coming down sequentially due to this dynamic. We will continue to acquire homes at spreads we believe are appropriate as we manage our business for growth, margin, and risk. And we will respond to market signals, including potential improvements in clearance rates, delisting rates, and HPA as a result of rate reductions. We expect fourth quarter revenue to be between $925 million and $975 million, contribution profit between $15 million and $25 million, which implies a contribution margin of 1.6% to 2.6%, and adjusted EBITDA loss between $70 million and $60 million. We expect adjusted operating expenses, which we define as the delta between contribution profit and adjusted EBITDA, to be approximately $85 million. Our fourth quarter contribution margin guidance reflects lower home price appreciation during the hold period due to the softer housing environment. Additionally, margins are under pressure due to slower acquisition rates, which lead to a resale mix that favors older, lower margin homes over newer, higher margin homes. To note, the midpoint of our revenue and margin guidance implies a full-year contribution margin of 4.5%, just 50 basis points shy of our annual target margin range while operating in an incredibly difficult housing market environment. We expect to see approximately $50 million in annualized savings from the reduction in force we announced today and an additional $35 million in annualized savings from the separation of Mainstay that we announced in August. The company expects to incur a total of approximately $17 million in restructuring expenses in the fourth quarter related to our reduction in force and other restructuring costs. We are pleased with our third quarter performance and will continue to focus on the things we can control. We are committed to operating as efficiently as possible in order to offer the most attractive offers to our customers while also strengthening our financial performance in service of reaching our breakeven milestone. I'd now like to turn the call over to the operator to open up the line for questions.
Operator: [Operator Instructions] Our first question comes from the line of Ygal Arounian with Citigroup. Your line is now open.
Ygal Arounian: Hey, good afternoon, everyone. I guess just first taking kind of a fixed picture view of where we are in housing market in the year where I think, like you guys said, well below where we expected. Rates have moved up again. Looking into next year, which at least where we are today, looks like it'll continue to be a challenging market. And then time that to the $10 billion run rate you guys have kind of that framework that you've laid out for, getting to adjusted net income breakeven, the reduction in force here. Can you just lay out again where we are, what it takes to get to breakeven? Do you think this risk positions you if the market continues to be challenged next year or is there more cost efficiencies? Just how to think about where we are today and how we get to that target.
Christy Schwartz: Hi, Ygal, it's Christy here. Thank you for the question. We continue to remain focused on achieving positive adjusted net income. The actions we've taken today alongside the Mainstay separation announced last quarter are in service of reducing our cost structure to reach ANI breakeven sooner. That said, there's a number of factors that impact our ability to get to ANI positive, including the macro environment, our spreads, CM performance, et cetera. And so while we are not giving an update on the framework today, we have taken meaningful steps to reduce our cost structure and we'll continue to look for other efficiencies. One thing I do want to note is that the actions we've taken today were primarily in our fixed cost structure and will not impair our ability to rescale the business. We are focused on growing the business when the housing market turns, and we're intent on doing that in a sustainable way.
Ygal Arounian: Okay, and so, as a follow-up, and probably a little bit of brain work and just the general question, the asset-light products, and I know they're early, but could you share a little bit more color on what you're seeing there? How you think about extending those, at what pace, and over time, how important or how big a piece of the overall business do you expect those or want those to be? Thanks.
Carrie Wheeler: Yeah, hey, Ygal, it's Carrie. A couple comments. One, so List with Opendoor, that's nationwide now and it's performing within our expectations, probably even better than that. And we think it's incremental largely to our core Sell Direct business. This is a customer who has market FOMO. They want to make sure that they understand the full market value potential of their home. They would still want the assurance of a cash offer, but they'd like to have both. And we can enable that through the listing product. And what we’re finding is when we present them now with two options, which we say now is like, sell your way. You can sell it simple, certain, fast via cash offer. You can sell it via listing, it’s higher net promoter score, it’s higher conversion, it’s accretive to our overall business. We’ve got other things to do to make it more seamless and more magical for the customer. We're going to continue to work on that for the balance of the year. So that's List, which we're encouraged by. The other piece of it is Marketplace. This is actually timely, because this is the week that we actually went from being in one market to launching this week in the Carolinas which is great. And that's because we continue to see pretty good green shoots for what we've been trialing in Dallas which is customers saying yes to Marketplace. These are customers who would like to think about selling their home, but for whatever reason cannot access the MLS in the traditional way. They are not list-ready potentially, and we can provide them with alternative solutions. So we're going to continue to work on marketplace. I would say it's very small right now, but we're encouraged enough to want to bring it to other markets and continue to work on it. The goal over time is to diversify the mix of the business to be less capital intensive and we think these are two really solid proof points that we're going to focus on in 2025.
Ygal Arounian: Got it. Thank you.
Carrie Wheeler: Welcome.
Operator: Thank you. Our next question comes from the line of Ryan Tomasello with KBW. Your line is now open.
Ryan Tomasello: Hi, everyone. Thanks for taking the questions. Appreciate the prepared remarks, Carrie, on NAR settlement and your approach there. I was hoping this to impact that a bit more in terms of how Opendoor is approaching offering these concessions if you're taking a blanket approach and making concessions up to a certain limit of buyer agent commission. And then just looking at your direct selling costs, it looks like they came down pretty meaningfully, about 50 bps of a decline from where they've been running. Is that essentially what we should view as the benefit you've seen thus far from lower commissions? Thanks.
Carrie Wheeler: Yeah. Hey, Ryan, it's Carrie. That's a good question. A couple things. So we have begun transitioning from paying a blanket buyer broker commission to offering concessions to buyers. If you bring us the best offer we get, we're going to offer concessions. It is not formulaic. It can vary. And that buyer gets to decide how they want to deploy those concession dollars, whether that's in their pockets or they're going to use that to pay for the agent they brought to the transaction. We're agnostic. We just want to make sure that we are solving for the best outcome for us on a resale basis. So what you're seeing today for us right now is that the combination of buyer broker commission and what we're spending money on in terms of concessions, that has come down a little bit quarter-on-quarter. You can't see all that yet. What you are seeing right now is you're seeing selling costs come down meaningfully Q2 to Q3. I think it was like 2.8% of revenue down to 2.4% of revenue. That is the decline we're seeing in buyer-broker commission. But the way buyer concession shows up, it's like an offset to revenue. So you actually can't see that today. So, like, we're going to have to start to think about those costs in total and how those evolve over time and they’re down a smidge, I think it’s too early to draw a straight line and say this is the trend. And I think if it gets more meaningful over time and we have more proof points, like, we’re two months into this really, right? But if we have more proof points, then we can provide you all with more transparency how to think about those costs on a combined basis. But so far, I'd say some compression probably, how sustainable it is. I think everyone in the system is still trying to figure this out, agents, consumers, ourselves included.
Ryan Tomasello: Got it. That's super helpful color in terms of triangulating the concessions and where that shows up. And then sticking with just general industry practices, it seems like the debate has shifted to the next thing away from commissions and to other MLS policies like Clear Cooperation. So I was just hoping you can share your thoughts around how, any changes there or a repeal or rollback of Clear Cooperation plays into the Opendoor story and value proposition. I guess, said another way, would an industry where the MLS has a weak or stronghold on listings be a net positive or a negative for your business over the long run? Thanks.
Carrie Wheeler: And I guess I would say at a high level is like anything that is consumer-first is something we're aligned with. I mean, that's sort of the ethos of what we've built and what we stand for. And if you think about Clear Cooperation at the highest level, it's about giving people full access, availability and transparency through the MLS and, like, we're all for that. Obviously that's good for our business too. And at the same time, there is room for evolution because there are people for whom the MLS doesn't work. And so, the extent that there's innovation that is happening in the traditional system, we're in favor of that too. So ultimately, we're going to align with consumer choice. We see a lot of reasons why MLS should exist in their current form. There could be other things that stand up alongside that that are good for consumers that we'll be supportive of.
Ryan Tomasello: Great. Thanks for taking the questions.
Carrie Wheeler: Thanks, Ryan.
Operator: [Operator Instructions] Our next question comes from the line of Nick McAndrew with Zelman & Associates. Your line is now open.
Nick McAndrew: Hey, guys. Thanks for taking my questions. Carrie, you might have mentioned this briefly, but just on the continued rollout of List with Opendoor going from 17 markets at the beginning of the year to nearly all of them, anything you can add in terms of the type of sellers that are choosing to use List with Opendoor? I'm just curious if there are particular demographics or customer segments that are showing higher engagement with that option versus, say, the traditional cash offer model?
Carrie Wheeler: Not in terms of, like, there's not a unique demographic I can point to and say it's this but not this and distinct from what we engage with today in our core selling -- sell direct offer, which is a pretty broad swath of home sellers, like, across the entire demo, which you'd expect to see in the United States. It's really been someone who loves the assurance that they know exactly when they can sell, but also wants to test their value of their home on the market. And this gives them 30-day window to do that. And if for whatever reason they have some time pressures or a time that they need to meet, they can fall back on that offer with a certain window of time. But the extent that they want to go ahead and list it, we're happy to have them do that too, and just have that safety net alongside them. So nothing really distinct in terms of demo.
Nick McAndrew: Got it. That's helpful. And then just curious, too, so I know brand awareness and top of funnel growth have been key focus points in the past. And any color you can add just on what you're seeing from shifting marketing dollars more toward brand media, leveraging partnership channels? And if you're seeing any differences in conversion rates between maybe more mature markets versus newer ones? Thanks.
Carrie Wheeler: Yeah, I mean, I'd say at a high level, we're going to continue to invest in marketing because of exactly what you said, which is, like, we have found that driving higher brand awareness for us drives higher trust and that drives higher conversion. So in those markets where we have more time and awareness, we just naturally convert higher on a like-for-like basis. And so we're going to continue to invest in brand. Trying what else I can tell you that would be helpful. I would say in Q3 we pulled back a little bit on our marketing spend just in light of where spreads were. I think in Q4 we'll look to invest opportunistically as we think about leaning into the spring selling season. But we're going to continue to drive into brand because we think it's just a rising tide to list all those for us.
Nick McAndrew: Great. Thank you.
Operator: Thank you. And I'm showing no further questions at this time. I'd like to hand the call back over to Carrie Wheeler for closing remarks.
Carrie Wheeler: Great. Thanks, operator. Thanks to everyone for your time this quarter. We appreciate the questions as always and we look forward to speaking to you in Q4.
Operator: This concludes today's conference call. Thank you for your participation. You may now disconnect.